Operator: Ladies and gentlemen, thank you for joining us, and welcome to the MDU Resources Group, Inc. Year-end 2025 Earnings Call. [Operator Instructions] I will now hand the conference over to Brent Miller, Treasurer. Brent, please go ahead.
Brent Miller: Thank you, Kevin, and welcome, everyone, to the MDU Resources Group Year-end 2025 Earnings Conference Call. You can find our earnings release and supplemental materials for this call on our website at mdu.com under the Investors heading. Leading today's call are Nicole Kivisto, President and Chief Executive Officer; and Jason Vollmer, Chief Financial Officer of MDU Resources Group. During today's call, we will make certain forward-looking statements within the meaning of the federal securities laws. For more information about the risks and uncertainties that could cause our actual results to vary from any forward-looking statements, please refer to our most recent SEC filings. I will now turn the call over to Nicole for her remarks. Nicole?
Nicole Kivisto: Thank you, Brent, and thank you, everyone, for joining us today and for your continued interest in MDU Resources. 2025 was our first full year as a pure-play regulated energy delivery business, and I am extremely proud of our team's performance. This morning, we reported 2025 earnings of, [ $190.4 million ], or $0.93 per share, which was in the middle of our earnings per share guidance range. In 2025, we deployed $792 million of capital, advancing key projects, we made meaningful progress on the regulatory front and delivered record results at our pipeline business. In addition, our utility experienced combined retail customer growth of 1.5% when compared to 2024, which is within our targeted annual growth rate of 1% to 2%. Included in our $792 million of capital investment was the 49% ownership interest in [ Badger ] Wind Farm, which was acquired and placed in service on December 31, 2025. This project, along with other capital investment placed in service at our utility resulted in utility rate base growing 16% year-over-year. Our 2026 through 2030 capital investment plan released last November had included the acquisition of Badger Wind in 2026, with the expectation that final payment would occur in 2026. We were excited to close the transaction earlier than planned and at our ownership share of this cost-effective energy resource to our diversified generation portfolio. As such, we have revised our 2026 through 2030 capital investment plan to $3.1 billion, which is reflected in the table in our earnings release. As I mentioned, 2025 was an active year on the regulatory front, which not only was a benefit to 2025 results, but should also set us up for future growth as we continue to execute on our capital investment plans. We filed for recovery of the Badger Wind Farm investment in North Dakota through an updated renewable resource cost adjustment on October 31, 2025. The North Dakota Public Service Commission approved the cost adjustment on January 26 of this year. We also filed an out-of-period update in South Dakota to the infrastructure rider on October 31, 2025, reflecting recovery of the Badger Wind Farm. We filed an electric general rate case in Montana on September 30, 2025, which also included recovery of Badger Wind Farm, along with other investments made since our last regulatory proceeding in 2023, as well as increased operating costs. The Montana Public Service Commission has 9 months to rule on the case. We had requested interim rates to be effective January 1, 2026, however the Montana PSC denied the interim rate relief. We subsequently filed a request for reconsideration of [indiscernible] rates on December 26 last year. The request for reconsideration went before the Montana PSC on February 3, however, no action was taken. In our Wyoming Electric case, the settlement agreement was filed with an annual increase of $5.8 million in a stipulation to withdraw the requested reliability and safety rider. Rates are anticipated to be effective April 1, 2026. The final item I would like to comment on regarding the electric side of the business would be on the filings of our wildfire mitigation plans in the states of North Dakota, Montana and Wyoming, and those were filed late in December. On the gas side of the business, our natural gas general rate case settlement agreement in Idaho was approved on December 30 for an annual increase of $13 million with rates effective January 1, 2026. In the state of Washington, our second year rate increase from our multiyear rate plan will go into effect on March 1, 2026, reflecting an increase from rates currently in effect of $10.8 million annually, subject to the completion of a provisional plant review. We also did file a general rate case in Oregon on November 25, 2025, with rates anticipated to be effective October 31, 2026. Moving on to the data center front. We currently have 580 megawatts of data center load under signed electric service agreements. Of that total, 180 megawatts have been online since May of 2023, with an additional 100 megawatts ramping online currently, an additional 150 megawatts expected online later this year and the remaining [ 150 ] expected online in 2027. Our current approach to serve these large customer opportunities is with a capital-light business model, which not only benefits our earnings and returns, but also provides cost savings to our other retail customers through a lower transmission allocation and margin sharing. We continue to pursue additional discussions with potential data center customers. Should these discussions progress to signed agreements, we would consider investing capital into new generation, transmission and related assets to serve the increased load. Aside from data center load, we also continue to evaluate other potential capital projects related to safely and reliably meeting existing customer demand, as well as grid resiliency. At our pipeline segment, we continue to make progress on required surveys for our Line Section 32 expansion project, which will provide natural gas transportation service to electric generation facility being constructed in Northwest, North Dakota. We anticipate filing our FERC application in March of this year for this project and are targeting construction to be complete in late 2028. We also signed an agreement to support the early-stage development of the potential [indiscernible] industrial pipeline project through the second quarter of 2026. This project could consist of an approximately 90-mile pipeline from [ Tioga ], North Dakota to [ Minot ], North Dakota and provide incremental natural gas transportation capacity for anticipated industrial demand. We will continue to provide updates as this project progresses. In regard to our proposed Bakken East pipeline project, the FERC prefiling request was submitted December 23, 2025. A binding open season began on February 2 of this year and will close on March 13. The company continues contract negotiation with several interested parties. Pursuant to the results of the open season and these negotiations, we would look to confirm the final design of the project in order to make a final investment decision. Upon that decision, we would plan to make our FERC 7C filing and update the market on any relevant changes to our capital investment forecast as well as growth targets. As a reminder, projected in-service dates for the proposed projects are late 2029 for the Western portion, and late 2030 for the eastern portion of the pipeline. This project would provide natural gas transportation service for additional industrial, power generation and local distribution companies to meet growing demand, and also provide much-needed takeaway capacity to meet forecasted natural gas production growth in the Bakken region. This project is not currently in our 5-year capital forecast and would be incremental should we determine to proceed. As we look to finance a project of this size and scope, we will evaluate all options, including using our balance sheet to finance the project, pursuing potential partnerships and various other options. We will continue to provide updates on this potential project as we learn more. As we look forward to 2026, we are initiating earnings per share guidance in the range of $0.93 to $1 per share. This range reflects continued strong performance across our segments, while also accounting for equity financing used for our growth projects. We remain confident in our ability to execute our long-term growth strategy and believe our operational focus and financial discipline continue to position us well for delivering safe and reliable energy, customer value and strong stockholder returns. We also continue to anticipate a long-term EPS growth rate of 6% to 8%, while targeting a 60% to 70% annual dividend payout ratio. As always, MDU Resources is committed to operating with integrity and with a focus on safety. We remain dedicated to delivering value as a leading energy provider and employer of choice. Before I turn over to the discussion to Jason for the financial update, I want to close with a thank you to all of our employees for their hard work and dedication as we worked through a very successful year. Throughout 2025, our employees work tirelessly to ensure our customers received safe and reliable energy, while also executing the significant milestones I noted and countless other projects. We could not be successful without these efforts. I will now turn the call over to Jason for the financial update. Jason?
Jason Vollmer: Thanks, Nicole. I'm excited to share our results for 2025. This morning, we announced our full year earnings of $190.4 million, or $0.93 per share compared to 2024 earnings of $281.1 million, or $1.37 per share. It's important to note that certain costs associated with the spin-off of Everest in October of 2024, as well as its historical results of operations are reported in discontinued operations in our results. 2025 income from continuing operations was $191.4 million, or $0.93 per share diluted, compared to $181.1 million, or $0.88 per diluted share in 2024. As we turn to our individual segments, our electric utility reported earnings of $64.9 million, compared to $74.8 million in 2024. Higher retail sales revenue and volumes positively impacted results for the year but were more than offset by higher operation and maintenance expense, primarily from higher payroll-related costs, higher contract services related to electric generation station outages, higher software expense and higher insurance expense. Our natural gas utility reported earnings of $56.1 million, compared to $46.9 million in 2024, which is a 19.6% year-over-year increase. This increase was driven primarily by higher retail sales revenue largely from rate relief across multiple jurisdictions, including Washington, Montana, South Dakota and Wyoming. Higher operation and maintenance expense, primarily higher insurance, payroll-related costs and software expenses partially offset the increase. Our pipeline business posted record earnings of $68.2 million in 2025, which compares to $68 million last year. The slight increase in earnings was driven by expansion projects placed in service throughout 2024 and late in 2025, and customer demand for short-term firm transportation contracts. Increase in earnings was partially offset by higher operation and maintenance expense, primarily due to payroll-related costs. The increase was further offset by the absence of proceeds received in 2024 from a customer settlement, as well as the absence of a benefit from an adjustment related to a rate change in the company's effective state income tax rate, which together totaled about $2.7 million benefit in 2024. Higher depreciation expense due to capital investments and higher property taxes, primarily in Montana, further offset the increase in earnings. As I noted earlier, the spin-off of Everest was completed on October 31, 2024. Activity for the 10 months that Everest was part of MDU Resources is accounted for in discontinued operations in other as shown in our press release. The results shown in other for 2025 are expected to be more reflective of our future expectations as activity from our strategic separations fall away in future periods. Corporate and overhead costs that were previously allocated to Everest are now allocated to the remaining business segments. Finally, MDU Resources continues to maintain a strong balance sheet and have ample access to working capital to finance our operations through our peak seasons. In December, we completed a follow-on public offering of just over [ 10.15 ] million shares of common stock at a public offering price of $19.70 per share. In addition, the underwriters exercised their option to purchase approximately 1.5 million additional shares of common stock. Pursuant to forward sales agreements entered into in connection with the offering, the company has discretion to settle the forward sale agreements on one or more settlement dates prior to December 6 of 2027, subject to certain price adjustments as set forth in the forward sale agreements, as well as adjustments for transaction and other associated fees. Roughly 11.7 million shares of common stock are expected to meet all of the company's 2026 equity issuance needs to fund growth and a significant portion of 2027 equity needs as well. As a result of the [indiscernible] Wind Farm acquisition that closed right at year-end, our consolidated debt-to-capitalization ratio increased slightly to 49.1% debt as a percentage of our total capitalization. We expect to reduce this percentage as we settle the forward sale agreements from the follow-on offering that we completed in December. That summarizes our financial highlights for the year. We appreciate your interest in and commitment to MDU Resources and would ask that we now open the line for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Julien Dumoulin-Smith with Jefferies.
Julien Dumoulin-Smith: This is [ Tanner ] on for Julien. Maybe first here on the '26 guidance, just eyeballing the math here. If you delivered even just 6% EPS growth year-over-year, you'd kind of be towards the top end of the EPS range for the year. What are the year-over-year headwinds embedded in the guidance formally?
Jason Vollmer: Yes. Thanks, Tanner. Happy to jump in and walk through that. So as we look at the growth that we saw in 2025, certainly tell you with how we finished the year on that front. As we look forward into 2026 and look at the guidance there, long-term guidance range, we do push a 6% to 8% guidance range that we expect -- 6% to 8% EPS growth rate over the long term. And I think as we've said before, we will have years where we exceed that, and we will have years where we probably don't meet that full amount. As we look into 2026, we've got a lot of exciting things underway. We've got a lot of rate case activity in front of us here, which we will see some partial impacts from throughout the year. In the addition of the Badger Wind Farm as we see in 2026 will be a benefit here as well. Certainly, some of that growth has taken some equity issuance on our side as well. So we do see some impacts of that as we look for that piece of it. But overall, as looking at 2026, we are expecting growth as we look at from that perspective, the midpoint of our range would show growth over where we ended this year. To your point, if you look at the midpoint of the range, it probably doesn't meet that 6% to 8% long-term range that we've talked about, but we are certainly over the long term, expecting that, that will hold true for us over the next several years.
Julien Dumoulin-Smith: Appreciate that. And can you elaborate on the continued contract negotiations with several interested parties for the Bakken East pipeline? And I see on the slide you provided the path toward FID, but there aren't any formal dates attached. Could you maybe help set a rough expectation for how we should be thinking about some of the more important parts of the process like FID and then formally -- formal integration into the CapEx plan?
Nicole Kivisto: Yes, absolutely. So kind of what I hear you asking is how do we articulate next steps as it relates to Bakken East. And as we disclosed in the script and otherwise, we've got the open season out publicly right now. So that goes through March 13, or mid-March. And so as we think about the binding open season, it's probably a little bit too early to discuss results coming out of that. As you know, we've been in ongoing discussions with customers on the project and are certainly pleased with the level of interest we're seeing. We like our strategic location. As a reminder, this is really a demand pull type of project versus producer push. And so you're really getting to, how do we continue to advance this? And so the open season I mentioned, we will continue with discussions to get committed interest. Following that we would look to finalize the ultimate design of the project, execute customer agreements, and then essentially at that juncture, we prepared to make a final investment decision on the project. We did do our prefiling with FERC in December of last year. In that filing, we also included some time lines as it relates to a final 7C with FERC in the third quarter of 2026. So those are kind of the time lines we're looking at right now, but certainly continue to be pleased with the level of interest and the discussions we're having with customers.
Operator: [Operator Instructions] I see no further questions at this time. I will now turn the call back to Nicole Kivisto for closing remarks.
Nicole Kivisto: All right. We want to thank you all again for joining us today, and I want to thank our employees again for a successful 2025. We certainly appreciate your interest and support of MDU Resources and look forward to connecting with you as we progress throughout 2026. With that, I will turn the call back over to you, operator.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.